Operator: Hello, and welcome to the LyondellBasell Teleconference. At the request of LyondellBasell, this conference is being recorded for instant replay purposes. Following today's presentation, we will conduct a question-and-answer session. I'd now like to turn the conference over to Mr. Doug Pike, Vice President, Investor Relations. Sir, you may begin.
Douglas J. Pike - Vice President, Investor Relations: Thanks, Tori. Well, welcome to LyondellBasell's third quarter 2015 teleconference. And I'm joined today by Bob Patel, our CEO, and Sergey Vasnetsov, our Senior Vice President of Strategic Planning and Transactions. But before we begin the business discussion, I'd like to point out that a slide presentation accompanies today's call and is available on our website at www.lyb.com. I'd also like for you to note that statements made in this call relating to matters that are not historical facts are forward-looking statements. And these forward-looking statements are based upon assumptions of management, which are believed to be reasonable at the time made and are subject to significant risks and uncertainties. And actual results could differ materially from those forward-looking statements. For more detailed information about the factors that can cause our actual results to differ materially, please refer to the cautionary statements in the presentation slides and our financial reports, which are available at www.lyb.com/investorrelations. And reconciliations of non-GAAP financial measures to GAAP financial measures, together with any other applicable disclosures, including the earnings release, are currently available on the website at www.lyb.com. Now, finally, I'd like to point out that a recording of this call will be available by telephone beginning at 2 PM Eastern Time today until 11:59 Eastern Time on November 23, by calling 800-856-2254 in the United States and 402-280-9961 outside of the United States. And the pass code for both numbers is 5671. During today's call we'll focus on third quarter results, the current environment and the near-term outlook. But before turning the call over to Bob, I'd like again to call your attention to the non-cash lower of cost or market inventory adjustments, or LCM, that we've discussed on past calls. As previously explained, these adjustments are somewhat unique to our 2010 company formation, when all assets and liabilities were measured at fair value, our use of LIFO accounting and the recent volatility in crude oil prices and prices for many of our raw materials and finished goods inventories. And during the third quarter, we recognized in LCM charges totaling $181 million. Now, comments made on this call will be in regard to our underlying business results, excluding the impacts of this LCM inventory charges. With that being said, I'll turn the call over to Bob.
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: Thanks, Doug. Good morning, everyone, and thank you for joining our third quarter earnings call. Let's take a look at slide 4 and review a few financial highlights from this record third quarter. Third quarter earnings per share was $2.80, with EBITDA of $2.2 billion. This quarterly diluted EPS figure is another new, all-time high for LyondellBasell. And as represented by the orange lines in the lower-left chart, our EBITDA has now averaged approximately $2 billion in each of the last six quarters. Additionally, we have achieved 12 consecutive quarters of year-over-year EBITDA growth. This sustained level of earnings has translated into diluted EPS during the past 12 months of $10.60 per share. Achieving these record results during a period of slow economic growth and a volatile hydrocarbon environment speaks to the balance in our portfolio. We remain focused on safe, reliable operations and cost discipline. Our results support these statements and continue to surpass most, if not all, within the chemical space. In fact, our cash flow and shareholder-friendly policies not only standout within the industry, but also among S&P 500 companies. Our dividend yield play successfully within the top 15% of the S&P 500 and our share repurchase program is in the top 4%. Turning to slide number 5, you'll see that our safety performance year-to-date remains slightly ahead of 2014. We continue to operate as a top decile performer and a safety leader in the chemical industry. While we're proud of our safety performance, we're not at all satisfied. Our goal remains zero incidents. Our discipline around safety that the strong tone defines who we are, and we believe translates into both operational and financial success. Please turn to slide 6 for our third quarter and last 12 months EBITDA results. EBITDA in our Olefins and Polyolefins Americas segment was again in excess of $900 million. The Olefins and Polyolefins EAI and Intermediates and Derivatives segments each produced record EBITDA results for the second consecutive quarter. Olefins & Polyolefins EAI EBITDA totaled $555 million, as supply-demand balances in Europe remained tight early in the third quarter and moved to be to a more balanced position as the quarter closed. The Intermediate and Derivative segment recorded EBITDA of $506 million, strength in propylene oxide and styrene helped to offset seasonally lower oxyfuels results and scheduled maintenance activity. Refining EBITDA declined by $11 million, but results in this segment have been relatively stable throughout the year. Year-to-date EBITDA is $451 million, $75 million ahead of 2014 results. The Technology segment results declined by approximately $12 million, but are on a pace again to exceed $200 million for the full year. During the last 12 months, we've generated EBITDA of $8.5 billion. The composition of this EBITDA is in the lower right hand part of slide 6. EBITDA has been fairly steady across quarters. This has been achieved despite a volatile crude oil price environment and again as a testament to our portfolio's resilience and stability. As the chart shows, all segments contributed to our success. Please turn to slide 7 and 8 and I will discuss cash generation and cash use. Cash from operations continue to be very strong as we generated $1.8 billion from our operations during this period, an increase of more than $300 million from the prior quarter. Cash used for share repurchases and dividends totaled $1.7 billion. Share repurchases during the third quarter totaled 15.5 million shares or approximately 3.3% of the outstanding shares. During the quarter, capital spending totaled $373 million. We anticipate capital spending of approximately $1.4 billion for the full year 2015. During the past 12 months we generated $6.7 billion in cash from operations, while raising $1 billion from a bond issuance, and utilized $500 million of our commercial paper program. $6.3 billion were used for share repurchases and dividends during this period. $4.9 billion or 73% of our cash flow was used for share repurchases, reducing our outstanding shares by 56.3 million, or approximately 11%. Dividend payments totaled $1.4 billion. We also invested approximately $1.4 billion in CapEx with about half of this amount dedicated to growth projects. Before I comment on the performance of each of our segments, I wanted to make two broader observations. First, the quarter was characterized by generally stable volume across our portfolio. The second is that while margins in some product areas declined, some seasonally, other products improved. As a result, we generated another strong, stable quarter despite the oil price volatility and during a period where olefins and polyolefins market conditions shifted from tight supply-demand toward a more balanced market environment. Please turn to slide 9 as we look deeper into the segment results. Olefins and Polyolefins Americas' third quarter EBITDA was $920 million or $73 million lower than the second quarter. As a result of the rebalancing market and declining crude oil price, results declined from very strong second quarter levels as the third quarter progressed. Versus the second quarter, Olefins results declined by approximately $140 million as our average quarterly ethylene price declined by approximately $0.06 per pound. This downside was somewhat mitigated by a lower cost of ethylene production. Our U.S. Olefins plants ran at 94% of capacity during the quarter, in line with the second quarter. Our metathesis unit operated at reduced rates and its contribution declined by $6 million quarter-on-quarter. Approximately 90% of our ethylene was produced from NGLs with ethane representing approximately 65% of ethylene production during the quarter. Propane and butane cracking accounted for 22% of ethylene production. While Olefins results declined sequentially, Polyolefins results improved by approximately $70 million during the third quarter. Polyethylene spreads increased $0.02 per pound and polypropylene spreads increased $0.04 per pound during the third quarter. Polyethylene volume was steady and polypropylene volume declined 5%, partially as a result of maintenance at our Lake Charles facility. During the first weeks of the fourth quarter, the market remains balanced. Natural gas costs have declined from second quarter levels, while NGL costs have increased seasonally but still remain low. Inventories of both remain abundant. Sales and production volumes have been relatively consistent with the end of the third quarter. As you can see on the lower left on slide 9, third quarter price declines have led industry consultants to forecast lower ethylene chain margins. We do not have planned fourth quarter maintenance, but we intend to build inventory for the first quarter of Corpus Christi steam cracker turnaround and expansion, which will add 800 million pounds to our annual ethylene capacity. We estimate that this inventory build will negatively impact fourth quarter results by approximately $30 million. In addition, we declared force majeure in polypropylene due to a site-wide power loss in our Bayport plant. Bayport polypropylene accounts for approximately 15% of our global polypropylene capacity and approximately half of our North American capacity. Please turn to slide 10 and a review of our Olefins & Polyolefins Europe, Asia and International segment. Third quarter EBITDA was $555 million, another quarterly record and $63 million higher than the second quarter. Olefin results improved by approximately $60 million. Ethylene continued to remain tight early in the third quarter and prices were relatively constant. Margins increased approximately $0.06 per pound primarily from a lower cost of ethylene production due to lower feedstock costs. During the quarter, we operated our assets at 92% of capacity excluding planned maintenance at our Münchsmünster, Germany Olefins plant. We estimated that this maintenance impact impacted third quarter results by approximately $15 million during the quarter. We produced approximately 65% of our ethylene from advantaged raw materials, adding approximately $30 million to EBITDA over naphtha cracking. Combined Polyolefins EBITDA improved by approximately $20 million. An increase in polypropylene price spreads of $0.02 per pound and 9% higher polypropylene volume more than offset the 4% lower polyethylene volume. Polypropylene compounds results were lower by approximately $10 million. Volume was seasonally lower and margins were compressed by increasing polypropylene costs. JV equity income was relatively constant. The third quarter was characterized by rebalancing in both Olefins and Polyolefins markets, as the industry came off the high rate of outages that defined the second quarter. Volume continued to remain at second quarter levels, but margins in September closed lower than where they started the quarter. To this point, October margins, as forecasted by IHS, are located on the lower-left side of slide 10, have come off of the levels of the third quarter. Typically during the fourth quarter, the benefit from advantaged feedstocking declines and Polyolefin volumes decline seasonally with converter holiday downtime. The maintenance outage at our Münchsmünster olefins plant is scheduled to continue through October. Based on current margins, we expect this to impact fourth quarter EBITDA by approximately $15 million. Now, please turn to slide 11 for a discussion of our Intermediates and Derivatives segment. Exclusive of the LCM impacts, third quarter EBITDA was a record $506 million, $23 million higher than the second quarter. Propylene oxide and derivative results were higher by approximately $30 million as lower feedstock and other variable costs led to the margin improvement. Intermediate chemicals performance also improved by approximately $30 million. Styrene results improved approximately $30 million as margins remained strong and volume increased following the conclusion of the planned maintenance at one of our propylene oxide styrene monomer plants at Channelview. C4 chemical volumes also improved. Acetyl results declined by approximately $20 million due to planned maintenance at our La Porte acetyls plant. Oxyfuels results followed typical seasonal patterns and decreased by approximately $30 million. To-date, October demand has been similar to third quarter. During the fourth quarter, we generally see seasonal margin declines in our oxyfuels and C4 chemicals businesses as butane becomes more expensive due to winter gasoline branding. As you can see on the slide, this year is not an exception. During the quarter, we will complete the maintenance turnarounds at our French PO/TBA plant and at our La Porte, Texas acetyls plant. This maintenance will impact the production of propylene oxide, oxyfuels and acetyls. We estimate that the total impact of these maintenance activities will negatively impact full quarter EBITDA by approximately $20 million. Let's move to slide 12 for a discussion of the Refining segment. This quarter, third quarter EBITDA was $143 million, excluding LCM impacts, results are $11 million lower than the prior quarter. During the third quarter, the Maya 2-1-1 spread averaged nearly $23 per barrel. The realized spread at our refinery was moderately higher than the Maya 2-1-1 spread, but approximately $1 lower than the second quarter. Crude throughput averaged 249,000 barrels per day, a decrease of 6,000 barrels per day. Canadian crude oil and light U.S. crude oil made up approximately 30% of our crude slate. During the fourth quarter, we are expecting maintenance at the refinery to impact fourth quarter EBITDA by $15 million to $20 million. Our Technology segment generated EBITDA of $45 million during the quarter, a decrease of $12 million. This was primarily the result of lower licensing earnings. Please turn to slide 13 and I'll briefly summarize the quarter. Third quarter earnings was another all-time record and marked the sixth consecutive quarter with EBITDA of approximately $2 billion. We again delivered record earnings per share to our shareholders and we continue to deliver industry-leading cash returns. Our operating excellence is the enabler and our balanced portfolio continues to deliver strong steady earnings and cash generation. During the third quarter, we returned nearly $1.7 billion to shareholders, through share repurchases and dividends. I describe the third quarter and the transitional market. The supply constraint of the second quarter transitioned to a more balanced market during the third quarter. As a result, there was some margin compression as the quarter progressed. Looking ahead, during the fourth quarter, we typically experience seasonal slowdowns in our Oxyfuels, Polyolefins and Refining businesses. Overall, we continue to see ethylene markets that are balanced. Thus far, sales volumes remained similar to the third quarter pace. During the fourth quarter, we will complete three ongoing turnarounds, and our Bayport polypropylene plant has resumed production. However, the force majeure remains in place in polypropylene. As we look ahead into the first half of 2016, we remain encouraged by what we see. The next several slides help explain our optimism. First, as shown on slide 14, the current oil-to-gas ratio remains healthy and well above the pre-shale average. This represents the U.S. shale advantage, and we remain well positioned to continue benefiting from it. Along with this cost advantage, we continue to benefit from an abundant supply of natural gas and NGLs. The markets that we serve also lead us to be optimistic. Demand for our products, approximately two-thirds of which go into consumable end users, remained steady. Our products are relied upon for fuel, food packaging and other diverse everyday end uses. Mid-markets grow consistently and in excess of global GDP, as you can see in the graphs on the right of slide 15. In the past 25 years, global polyethylene and polypropylene demand has grown year-over-year in all but one year, 2008, and we know how severe that recession was. Earlier in the call, I mentioned fourth-quarter seasonality and transitioning to a balanced order. But we also need to look further ahead. Slide 16 provides a view of global industry supply-demand. Operating rates in 2016 are projected to be very similar to 2015, with ethylene effective operating rates, again, above 90%. This suggests a balanced-type market, depending on industry operating reliability which, over the past two years, has not been that strong. Please turn to slide 17. As the fourth quarter trends lower due to seasonality, we typically see a demand increase during spring and restocking occurs. This pickup in demand coincides with planned maintenance and we could again see another period of supply tightness in the first half of 2016. It would not be unreasonable for the first half of 2016 to look similar to the first half of 2015. With that, I'm now pleased to take your questions.
Operator: Thank you. We will now begin our question-and-answer session. Thank you. Our first question comes from Jeff Zekauskas with JPMorgan. Your line is now open.
Jeffrey J. Zekauskas - JPMorgan Securities LLC: Thanks very much. The price of ethane today is $0.20 a gallon which equates to about $3 per MMBTU and the price of natural gas at Henry Hub order of magnitude is $2.40. And if ethane were trading or were priced with natural gas, it would be at $0.15 a gallon. And there is, I don't know, 500,000 barrels of ethane a day being rejected. So, it seems like there's plenty of ethane, yet a premium has been built into the ethane price. Do you have an opinion on why that is? Do you find it puzzling or straightforward?
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: Our sense is that ethane demand increased as Q3 progressed, as propane fell more out of favor, propane prices rising through the quarter, so demand increased and I think the rejection rates that you quoted are in line with our views, 400,000 to 500,000 barrels a day. This price margin should encourage more of that ethane to come to market. And I would suspect that, over time, we would see ethane trade back closer to fuel value. So, I'd see this, Jeff, as really more transitional.
Jeffrey J. Zekauskas - JPMorgan Securities LLC: Okay. And then, for my follow-up, a good portion of your increase in EBITDA year-over-year came from your European operations. And in Europe, this was a year where there were all kinds of operational issues. How much of the improvement do you see year-over-year as being due to transitory events and how much do you see it as being due to steps that you've taken to improve the business in a more durable way?
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: Part of the improvement in Europe is improvement in demand year-over-year. But I would say that the restructuring work that we've undertaken over the past three years, four years, has really provided the foundation for this increase in earnings. Having said that, a weaker euro, lower naphtha price does increase competitiveness of Europe. So, our end use customers are more competitive in export markets, for example, for film. So, we've seen, polypropylene demand grow very solidly year-over-year, and polyethylene is incrementally higher year-over-year. I think those are all the factors and with lower oil price and weak euro, we expect that Europe should do pretty well.
Jeffrey J. Zekauskas - JPMorgan Securities LLC: Okay. Great. Thank you so much.
Operator: Thank you, speaker. Our next question is from Bob Koort with Goldman Sachs. Your line is now open.
Robert Andrew Koort - Goldman Sachs & Co.: Thanks very much. Bob, I noticed in your ethylene forecast there, it looks like you've got operating rates. You're going to sustain a pretty consistent level here assuming ongoing downtime in the industry. Is there a reason not to simplistically assume that you should be able to continue booking this $2 billion quarterly EBITDA numbers? Or do you think there's some further leg up here as you bring on some new capacity or maybe do some other things with the portfolio?
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: In terms of unplanned outages, Bob, it's difficult to really forecast those, right? So, we don't know what's going to happen next year. But the history is any indicator – recent history is any indicator, then next year's additional planned outages will create some firmness in markets. We'll just have to see how that develops. We do have more capacity coming on next year with our Corpus Christi expansion. So, we'll take a fairly large turnaround in the first half of the year as we bring that expansion on line, and then we'll have more operational leverage in ethylene in the second half of the year. So, I'm not sure if I answered your question, Bob, but we will just have to see how the operating reliability develops in the first half.
Robert Andrew Koort - Goldman Sachs & Co.: If I might ask a follow-up. On slides 9 and 10, you show your U.S. or Americas and then the Europe metric. I found it interesting that in the third quarter, naphtha- and ethane-based spreads were the same. And then European and U.S. spreads were nearly the same. Do you think going forward, as you go through the next few years here, that you're going to see the European spread continue to be close to North America? Or do you think that was sort of a one-off because of those extraordinary shutdowns in the first half of 2015?
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: I think in third quarter, it was more than just about the tightness in the market. We also had a declining naphtha price which increased margins. As you know, we have a price lag on our ethylene price settlements. So, we settle price on ethylene at the beginning of the month. We buy feedstock throughout the month and in a falling price environment, we tend to benefit. So, there's some of that in the third quarter. I would not expect it to be that strong in future quarters.
Robert Andrew Koort - Goldman Sachs & Co.: Great. Thank you.
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: Thank you.
Operator: Thank you, speaker. Our next question is from Arun Viswanathan of RBC Capital Markets. Your line is now open.
Arun S. Viswanathan - RBC Capital Markets LLC: Yes. Thanks, guys. So, just wanted to clarify a couple of your comments. So, I think a lot of us have kind of witnessed the loosening supply/demand over the third quarter and expect a lower fourth quarter. At the end of the call, you noted that the first half of 2016 could look like the first half of 2015. What drives that comment? I guess what are the factors that go into your expectation there?
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: Well, as we sit here today, Arun, I think inventories are average at best, maybe below average in the value chain. We see buyers only buying what they need. We don't see them buying ahead. Seasonally, as I mentioned in my remarks, that we tend to see demand decline in November/December, fourth quarter seasonal effects. Easily, we see spring pickup, not only in demand but then restocking of inventory to meet that higher level of demand. I don't expect next year to be any different. The year-over-year planned outages on the ethylene side, they're higher in 2016. And if demand grows year-over-year, then all of that points to tighter markets in 2016 compared to 2015.
Arun S. Viswanathan - RBC Capital Markets LLC: Okay. Great. And on the cash flows, you're still generating very strong cash flow. If you're at a similar level next year, what are the plans and priorities for that cash flow?
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: Well, our cash flow deployment priorities have been relatively consistent and I don't expect those to change next year. We'll do growth CapEx where we see opportunity to leverage advantaged feedstock or technology and have a stable growing dividend. And then beyond that, share repurchase is a very good option for us, so I suspect that we would continue in the same rhythm as we have in the past.
Arun S. Viswanathan - RBC Capital Markets LLC: Would it be possible to comment whether you'd be announcing any further new projects or considering M&A as well?
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: On the project side, we're advancing discussions with our board and we're developing a few different projects and as we're ready to discuss those, we'll certainly do that next year. On M&A, our view has not changed from prior calls. My view is that M&A, first of all, competes with share buyback and our organic growth program. In the case of our organic growth program, we're leveraging local advantage through doing debottlenecks, not greenfield when it comes to ethylene expansion. So, that's a fairly high bar. Share buyback is also a fairly high bar because when we buy back shares, we're buying back something we know every day and we're buying at market. So, M&A would have to have significant synergy potential, would have to be accretive. And so, we continue to evaluate things on all fronts, but we think our organic growth program and share repurchase set pretty high bars.
Arun S. Viswanathan - RBC Capital Markets LLC: Okay. Thanks.
Operator: Thank you, speakers. Our next question is from David Begleiter with Deutsche Bank. Your line is now open.
David I. Begleiter - Deutsche Bank Securities, Inc.: Thank you. Bob, on slide 9, you highlight polypropylene margins. Can you discuss the drivers of the expansion and your view of the sustainability of these higher margins in polypropylene?
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: Good morning, David. Polypropylene has been underinvested for the past few years, especially in the U.S. and in Europe. And this is the first year we've seen really significant growth, globally, in polypropylene. A part of that could be that polypropylene price has come down some and it's more competitive with ethylene, especially in the U.S. But we're definitely seeing demand growth in polypropylene. And with the prospects of capacity in the near term not changing a whole lot, polypropylene market in the U.S. and to even some degree in Europe, is structurally balanced and headed towards very tight markets. And I expect that will continue over the next year or two.
David I. Begleiter - Deutsche Bank Securities, Inc.: And Bob, just heading into (33:02) November, there are some polyethylene price increases on the table. What's your sense for the potential for those to be successful?
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: My sense of the market environment at the moment is that our order book is pretty full. We see demand being solid here in the U.S. Inventories are low. So, we just have to see how this develops, but markets seem pretty firm as we sit here today.
David I. Begleiter - Deutsche Bank Securities, Inc.: Thanks very much.
Operator: Thank you. Our next question is from P.J. Juvekar with Citi. Your line is now open.
P.J. Juvekar - Citigroup Global Markets, Inc. (Broker): Yes. Hi. Good morning, Bob.
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: Good morning, P.J.
P.J. Juvekar - Citigroup Global Markets, Inc. (Broker): My first question is on styrene. It's not a market we have talked about a lot on these calls, but that profitability has improved. And, at least in the quarter, it more than offset the decline in MTBE. So, maybe, can you add a little bit color on the styrene market? What is the sort of approximate EBITDA you make there? I know it's a co-product. And then, what's the outlook for next 6 to 12 months?
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: Well, in terms of supply/demand for styrene, as you know, it's been very underinvested for years. In fact, demand was shrinking for styrene and derivatives for some time. We now see demand increasing year-over-year. It's been underinvested for quite a long time. And there had been some unplanned outages, as you know, in the Netherlands, there was a POSM unit that had a fairly significant incident which has created more tightness in the styrene market. Our sense is that the styrene market will remain balanced if not tight, much like I described polypropylene with a prior question. Of course, as that capacity in the Netherlands returns to the market, that will ease some of the tightness, but we do expect year-over-year demand growth. And also, you have to remember that benzene prices come off a bit as oil price came off in the third quarter, so, that also helps margins. But we're constructive on styrene. We haven't said that in a long time. But the styrene market looks decent to us.
P.J. Juvekar - Citigroup Global Markets, Inc. (Broker): Thank you. And then, my next question, Bob, is on NGLs. As some of these propane export terminals begin to ship propane, what's your outlook on propane, and do you think that ethane becomes more advantaged next year compared to propane? Thank you.
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: Well, in the case of both propane and butane, we have to consider seasonality in terms of the competitiveness with ethane. So, in the summer months, we're going to see propane and butane be more competitive and then, in the winter months, less so. The export capacity for propane is increasing, but I don't think it's increasing at a pace where propane becomes disadvantaged. As long as both propane and butane are of abundant supply, then I think they'll compete to be in the cracker slate. And, of course, coal products play a big role in this. So, as propane cracking decreases incrementally going into the winter, we should see less propylene production and that should change the outlook for propylene prices. So, you kind of have to think about the coal products in all of this as well. But my sense is that propane and ethane will be near each other in terms of competitiveness in the cracker.
P.J. Juvekar - Citigroup Global Markets, Inc. (Broker): Thank you.
Operator: Thank you. Our next question is from Duffy Fischer with Barclays. Your line is now open.
Patrick Duffy Fischer - Barclays Capital, Inc.: Yes. Good morning, fellows.
Unknown Speaker: Good morning.
Patrick Duffy Fischer - Barclays Capital, Inc.: A question kind of on the split between profitability in your integrated ethylene chains. Obviously, I think it surprised everybody how much has kind of moved downstreams in the polyethylene from the ethylene side. Do you find that transitory or do you think that that's kind of a structural shift we'll see persist over the next three, four or five years? And then how would that affect your desire to be there net long or net short ethylene?
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: Well, I think in the near term, that's more transitory. It's local conditions and situations. As you know, PVC is a large consuming derivative of ethylene, and when the PVC producers are exporting more, they can certainly afford to – ethylene at the prices where it is today. Longer term, definitely, we're watching to see how some of these announcements develop. As you know, it takes a lot less time to build derivative capacity than it does ethylene capacity. We intend to be a merchant seller of ethylene long term in a similar proportion as we are today. So, we still think that that's an important part of our portfolio. We'll continue to evaluate derivatives and we are as we speak.
Patrick Duffy Fischer - Barclays Capital, Inc.: Okay. Great. And then maybe one for Doug. Just on the Corpus Christi turnaround next year as we're modeling that. With the inventory build, with the downtime and then kind of ramping back up, how should we think about that affecting year-over-year numbers?
Douglas J. Pike - Vice President, Investor Relations: Yes. Well, definitely, the first they do, a good comparison is somewhat like the La Porte turnaround that we did, right? We built inventory for that, then we had it down. And it's going to be an extensive turnaround, but is not only the turnaround but the expansion. So, if you can think of it in terms of maybe a 90-day or maybe a little bit longer, shorter turnaround, the inventory builds, what we're really doing is we're buying ethylene now, putting it in inventory, that's why you see the fourth quarter financial impact, and then that'll come out of the inventory as the turnaround proceeds. So, I think those things will guide you through kind of how to model and how to balance it as we go forward with that.
Patrick Duffy Fischer - Barclays Capital, Inc.: Great. Thank you, guys.
Operator: Thank you. Our next question is from Vincent Andrews with Morgan Stanley. Your line is now open.
Vincent Stephen Andrews - Morgan Stanley & Co. LLC: Thanks. Bob, big spread has opened up between contract ethylene and spot ethylene in the United States and it's a lot wider than normal. Could you sort of discuss what's causing that and what gives you the confidence that we're not going to see the contract price leak down to where the spot price is?
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: Good morning, Vincent. At spot ethylene, let me first frame the markets. So, the spot ethylene market accounts for about 10% from the total volume produced in the U.S. Now that includes both paper and physical trades. If you just look at the physical volume, it's like 5% to 7% of the total production, so that's quite small. It's a very thin market in the end. And so, near-term price movements, like we saw in the second half or the third quarter, those can be influenced by very local logistics-type issues, different producer issues, or whatever that might be. But I don't see this as being something that's structural. In fact, if you look at the forward curve on ethylene, it is in contango and it points upwards. So our sense is that this is just kind of a local situation. And then if you step back and look at next year's supply-demand balance on ethylene and the number of outages that are planned in Q1, my sense is that the market remains balanced to tight. And again, we'll have to see how operability develops.
Vincent Stephen Andrews - Morgan Stanley & Co. LLC: Okay. And just as a follow-up, is there any update on the CFO search?
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: Yes. Well, that just remains a high priority for us and we were closing in on a selection. We didn't want to rush into this and we continue to advance all of our finance-related matters. So, stay tuned, we're getting close.
Vincent Stephen Andrews - Morgan Stanley & Co. LLC: Okay. Thanks very much.
Operator: Thank you. Our next question is from Steve Byrne with Bank of America, Merrill Lynch. Your line is now open. Mr. Byrne, your line is now open. You may want to check if you're on mute, sir. All right. Thank you. Our next question is from Aleksey Yefremov with Nomura. Your line is open.
Aleksey Yefremov - Nomura Securities International, Inc.: Thank you. Good morning, everyone. Was polypropylene market being tight? Is there any opportunity for Lyondell to restart some of the older plans that had been idled in the past, either in the U.S. or Europe?
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: Yes. Good morning, Alex. We're not so much looking at that as we are debottleneck opportunities, as you know. That's been kind of the hallmark of our expansion program, and we have a few possibilities there. So, we'll evaluate that. And this is more of a recent development, meaning in the last two to three quarters. So, we're starting to think about our capacity and the potential here in the U.S.
Aleksey Yefremov - Nomura Securities International, Inc.: Thank you. And continuing the seam of merchant ethylene market, with the upcoming expansion of Corpus Christi, do you have that extra ethylene – do you have a buyer for that extra ethylene or you'll need to place it into the market on a spot basis?
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: No. We've already contracted quite a bit of that volume and we have ongoing discussions, as we're a merchant seller and have been for quite some time. So, that just comes into our portfolio and a lot of it is already placed.
Aleksey Yefremov - Nomura Securities International, Inc.: Great. Thank you.
Operator: Thank you. Our next question is from Don Carson with Susquehanna Financial. Your line is now open.
Don Carson - Susquehanna Financial Group: Yes. Thank you. Bob, we've seen propylene pricing come in quite a bit, and relative to ethylene, it's on its lowest levels since 2009 kind of pre the shell boom. So, what impact does is this having on line though? For example, that $140 million sequential decline in U.S. olefins, how much would be due to lower co-product credits? And then with this lower relative propylene price, I know that in the past, you talked about perhaps expanding your metathesis unit. Is that kind of on hold now?
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: Well, so in terms of propylene price, first of all, with higher propane cracking and that's what increased the supply of propylene. In terms of the impact on our results, we were just – as I mentioned during my remarks that we did run the flex or metathesis unit at lower rates. We'll have to watch how well this develops. I suspect, as we work through the next few months and propane is currently out of favor, we should see propylene rise. It has happened already. It's going to depend on supply-demand for propylene, of course. Longer term, the metathesis unit, that is one of the projects that we have that we're studying. We have to take a longer-term view rather than just what happened this month or this quarter. So, we'll kind of step back and look at propylene balances and our need for propylene, especially in light of a stronger polypropylene business here in the U.S. So, that's still an option, and that's something we'll look at with a longer-term view.
Don Carson - Susquehanna Financial Group: Then just a follow up, with the shift – industry shift in Europe to more propane usages. Has that reduced the effect of capacity industry by a couple points? Do you think that's one of the reasons behind some of the better-than-expected margins you're seeing in Europe beyond just the outages?
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: It doesn't impact the ethylene output there as much as it does the coal products like propylene or butadiene, and even that is very incremental. So, I suspect it's not really the driver for some of the things you're seeing in Europe.
Don Carson - Susquehanna Financial Group: Thank you.
Operator: Thank you, speaker. Our next question is from Hassan Ahmed with Alembic Global. Your line is now open.
Hassan I. Ahmed - Alembic Global Advisors LLC: Morning, Bob.
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: Good morning, Hassan.
Hassan I. Ahmed - Alembic Global Advisors LLC: A two-part question on methanol if I may. First question is how – one of your priorities, obviously, was better for the corporations or better running at the Channelview facility. So, how is that going? So, that's part one. The second part is that, obviously, you've been talking about evolving tightness within the ethylene side of things. As I understand it, there are roughly 3 million tons of MTO capacity that was supposed to come on line this year. But owing to volatility, a lot of that Chinese capacity has not come online. How does that fit in to your thinking as one thinks about 2016? Will those facilities start coming back on line?
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: All right. So, first of all, on the Channelview methanol plant, it's running very well. We've been running at benchmark rates. So, I would say that our issues that we had in last year have been resolved, and I'm really proud of how well that plant is running today. And given where margins have been, we've virtually paid for that restart, so those are very quick payback for us. In terms of the supply/demand balance for methanol, I still see the U.S. as being an importer of methanol. Market balances, we don't think change a whole lot in the next year or so. As this decade develops, it's possible that the U.S. will become an exporter of methanol if all this capacity that's been announced will come on line. MTO plants, they are under construction or coming up in China. The demand is growing as well. So, our sense is that at least next year, methanol supply-demand balance is reasonable for the U.S.
Hassan I. Ahmed - Alembic Global Advisors LLC: Perfect. And as a follow up on methanol sort of derivative side of things, you talked a bit about acetic margin sort of compressing a bit through the course of Q3. Now, obviously, methanol pricing is lower and continues to go down. But the flipside is that, obviously, acetic supply-demand balances remain quite slack as well. How should we be thinking about sort of 2016 asset yields or profitability for next year-on-year?
Douglas J. Pike - Vice President, Investor Relations: Hassan, it's Doug. I mean, I think our reference to the asset yields, of course, encompasses methanol. So, when we talk about being down, it's more turnaround related as where we were referencing. We've got the La Porte facility which includes a methanol plant and acetic and then in turnaround that's going to come up pretty shortly. But that's what we're referring to in the comments.
Hassan I. Ahmed - Alembic Global Advisors LLC: Got it. Thanks so much, guys.
Unknown Speaker: All right. Thanks.
Operator: Thank you, speaker. Our next question is from Mr. Jim Sheehan with SunTrust. Your line is now open.
Jim M. Sheehan - SunTrust Robinson Humphrey, Inc.: Thank you. With respect to the oil-to-gas ratio chart you have in there, with oil production continuing to increase, how close to parity you think we get there? Just how do you think that chart moves as we go forward?
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: I mean, if you look at the natural gas price where it is today, we're sub-$2.40 on Henry Hub. It's difficult to predict where oil price will go on the near term; but longer term, certainly. There's a lot of production in the world that's underwater at $45. So, my sense is that longer term oil price should come up, it's a question of when and the time that we take to get there. But if you think about natural gas, it's very abundant in the U.S. and so we think this ratio is pretty resilient in different oil price environment.
Jim M. Sheehan - SunTrust Robinson Humphrey, Inc.: Thank you. And also, on the ethylene supply-demand balances that you're showing, how much of the production of ethylene is going to be for domestic markets versus export markets in your view? Do we have more growth internationally and is that what absorbs the capacity?
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: Yes, you really have to look at ethylene derivatives because we don't really ship ethylene as monomer. We do, but not in material quantities. So the U.S. ethylene production increase later in the decade, will really meet global demand increase for PVC, for polyethylene, for MEG, and so on. And so, when you look at those markets, there's not a lot of ethylene expansion elsewhere in the world.
Jim M. Sheehan - SunTrust Robinson Humphrey, Inc.: Thank you.
Operator: Thank you, speaker. Our next question is from Nils Wallin with CLSA. Your line is now open.
Nils-Bertil Wallin - CLSA Americas LLC: Good morning and thanks for taking my question. As you noted that there are a fair number of ethylene turnarounds next year, but there are also a fair number of polyethylene start-ups. So, I'm just curious how you're thinking about the interplay between those two and what that effect might have on the PE spread over ethylene?
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: Good morning, Nils. The polyethylene expansions, I think they're in the second half of next year; most of them are. And those expansions, in the month that they start up, there may be a little bit of disruption, but our sense is if you look at markets at a global basis, there's enough demand growth based on the trend that we've been on to absorb that new capacity. So, could there be some change in the month? Perhaps, but we think that this capacity will be absorbed.
Nils-Bertil Wallin - CLSA Americas LLC: Got it. And then, obviously, your comment just on the question before was instructive in terms of your long-term view around oil prices. However, in the medium or short term, rig counts have come down, and efficiency is decelerating. So, do you have a view on how all that might – in the U.S. that is, how all that might affect the NGL supply?
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: So far, Nils, we don't see a whole lot of impact on NGL supply. I think it's still abundant. As I mentioned earlier, in response to one of the other questions, that ethane rejection still is north of 400,000 barrels a day. That's enough to feed five to six world-scale crackers. And some frac margin will probably bring even more supply to market. So, our sense, so far, not much impact on NGL supply. But we'll continue to watch it.
Nils-Bertil Wallin - CLSA Americas LLC: Thanks very much.
Operator: Thank you. Our next question is from Frank Mitsch with Wells Fargo Securities. Your line is now open.
Rory Blake - Wells Fargo Securities LLC: Good morning, gentlemen. This is actually Rory Blake sitting in for Frank Mitsch. Just a couple of questions following up. You guys spoke about demand improving in Europe. When you think about the global pace, this constant demand growth, has there been any change in terms of regional strength or how would you guys characterize maybe how things trended through the quarter?
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: Demand was pretty strong through the quarter in Europe on polyolefins. Now, you have to remember, that normally in July and August, there are pretty significant holiday periods that occur in North Europe, South Europe at different times. If you were to kind of take that out, year-over-year demand was stronger this year than it was last year. So, we're pretty constructive on where polyolefins demand is in Europe.
Rory Blake - Wells Fargo Securities LLC: Okay. And then just following up on the feedstock commentary. Obviously, it seems like the NGL view is to be long in the U.S. But given where you saw things trend, maybe in the middle of the year with propane coming off extremely strong. Do you see further investment opportunities to enhance your flexibility or do you think that's kind of everything is going to be parity longer term?
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: We do find incremental opportunities to increase flexibility. We're going to do some work at Channelview to increase flexibility to crack propane. I continue to believe that flexibility will be the key going forward. There are going to be times when propane is favored like it was this summer and then ethane and so on. What I would say, it's more incremental flexibility improvement. We've already done a lot of work in the past two years, three years.
Rory Blake - Wells Fargo Securities LLC: Thank you very much for your time, gentlemen.
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: Thank you.
Operator: Thank you. Our next question is from John Roberts with UBS. Your line is now open.
John E. Roberts - UBS Securities LLC: Thanks. I was curious about your comment, always wanting to be net long on ethylene. I assume that's in excess of you metathesis capacity and many players like that have a more tapered integration strategy. So, why would you like to be long ethylene even in excess of metathesis?
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: I think it gives us an opportunity to, first of all, to optimize, right? I mean, we can participate in the spot market when it's strong via either merchant sales or spot sales. We can increase or decrease metathesis production or propylene production. It gives us another knob, if you will, in terms of optimization. But we're not significantly long. I think our length has been consistent over the past four or five years.
John E. Roberts - UBS Securities LLC: Okay. And secondly, I assume M&A activity still doesn't compete anywhere close to share buybacks?
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: Our share buyback program looks pretty attractive to us at this point.
John E. Roberts - UBS Securities LLC: Okay. Thank you.
Operator: Thank you. Our next question is from Jonas Oxgaard with Bernstein. Your line is now open.
Jonas Oxgaard - Sanford C. Bernstein & Co. LLC: Hi. I have a follow up on the MTBE side. You were talking about seasonal weakness on MTBE going forward. But a lot of the driving the MTBE price has been the octane premium. And the octane premium the last couple of quarters has been, I think, the highest that it's ever been. Do you have any comments on that dynamic and well, where we can expect that to be next year in the summer?
Douglas J. Pike - Vice President, Investor Relations: Hey, Jonas. This is Doug. We agree that the octane premium has been very strong and we think octane is going to remain in demand. If you think about the developing world, you think about the way crude is developing, shale produces quite a bit of high-vapor pressure, lower octane components, engine technologies driving towards needs for more octane. So, that's why we feel quite good about it. Our comments, really, around MTBE and butane are you do see, though, a seasonal thing. This is something, I guess, I've watched for 25 years. Seasonally, what happens is when you hit the winter months, there's demand for butane, both for gasoline blending and cooking, so, you pull up butane a little bit. And gasoline demand comes off a little bit. So, it usually comes off a little bit. So, those two bases are trends that you'll see. This year, so far, is no different than, really, most years. You see that strong summer period. And they'll come off a little bit. And then, you'll see in the spring, we, typically, will see it move back up. So, I think you've got it exactly right. We feel good about octane and we feel good about the oxyfuels position.
Jonas Oxgaard - Sanford C. Bernstein & Co. LLC: Thank you.
Operator: Thank you, sirs. Next question is form Laurence Alexander with Jefferies. Your line is now open.
Laurence Alexander - Jefferies LLC: Good morning. I think maybe just to wrap up, just one quick question is, you've highlighted a bunch of different outage-related items for next quarter. If we roll all those up, that works out about $125 million to $150 million. Is that right or did I miss something?
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: I'm going to be a little troubled doing the math. That sounds a little bit high. But I'm not sure if you're doing a relative-to-relative. What we've got in the fourth quarter is we have a continuation of the asset yields and the PO turnarounds. So, there was one month in the third quarter, one month in the fourth quarter. In Europe, in EAI, they're kind of a similar thing with the Münchsmünster cracker, where we have a one month in the third quarter, one month in the fourth quarter. So, we have similar...
Unknown Speaker: Refinery... (59:10)
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: Similar impact across those periods. Now, when we get into the first quarter is where we do have more activity, because in the first quarter we'll have a part of the refinery in turnaround. If you recall, we moved out of this spring due to the strike in the labor environment, moved it into the first quarter of next year. And, of course, Corpus Christi will be there. So, that'll be a fairly large activity.
Laurence Alexander - Jefferies LLC: Perfect. Thank you.
Operator: Thank you, speakers. Our next question is from Brian DiRubbio with Tipp Hill Capital. Your line is now open.
Brian V. DiRubbio - Tipp Hill Capital Management LLC: Great. Thank you for letting me ask the question. Just want to clarify a comment that you made earlier. You said first half of 2016 will look like first half of 2015. So, that's just on the EBITDA level basis.
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: No, I was thinking more about market conditions and relative supply-demand, the amount of industry planned outages, along those lines.
Brian V. DiRubbio - Tipp Hill Capital Management LLC: Okay. Great. Thank you.
Operator: Thank you. Our last question is from Cooley May with Macquarie. Your line is now open.
Cooley May - Macquarie Capital (USA), Inc.: Good morning, guys. So, if I'm looking at the market correctly, it appears that following heavy planned outages kind of in the first half of next year, the supply of U.S. ethylene will grow 3% year-over-year next year, 9% in 2016 and 17% year-over-year in 2017. So, I want your thoughts just generally on capital deployment during this period. Do you expect to buy back a similar rate of stock or similar amount of stock over this period? And also, if you're looking to keep merchant ethylene as a similar portion to what is consumed, what high ROI projects do you envision?
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: Well, in terms of cash deployment, our approach so far has been to prioritize our high return growth projects CapEx. And what remains, we would dedicate to share repurchase. In the absence of significant M&A, that would be accretive. That – our approach will be similar in that regard. In terms of derivative projects, I think we're continuing to study a lot of different options in that area. I think we'll be a merchant seller in the future, a degree to which a merchant seller will depend on our opportunity in the derivative projects. So, that – as we develop those and we align with our board, we'll communicate with all of you on our progress.
Cooley May - Macquarie Capital (USA), Inc.: Thank you.
Bhavesh V. Patel - Chief Executive Officer & Chairman, Management Board: Okay. Well, I think if there are no further questions, then thank you for all of your questions. And let me close with a few comments. We delivered another record quarter despite further declines in oil price and related volatility in end markets. I think this is a testament to the balance and resilience of our portfolio. Our continued focus on safe, reliable, cost-competitive operations, it defines who we are and enable our financial performance. We're a strong cash flow generator with the discipline and shareholder-friendly approach deploying our free cash flow. In the past 12 months, we have returned $6.3 billion to shareholders via repurchases and dividends. Our growth program continues to focus on low capital cost debottlenecks and end products that leverage our technology. We're increasing operational leverage where we see structural advantage, i.e., the U.S. So, our focus stays steadfast. I hope you see our approach is consistent while we remain constructive about the industry outlook for 2016. Thanks for your continued interest in our company.
Operator: Thank you, speakers. And that concludes today's conference. Thank you, all, for joining. You may now disconnect.